Operator: Good morning, ladies and gentlemen. Today is Thursday, December 16, and welcome to the Butler National Corporation Second Quarter Fiscal 2022 Financial Results Conference Call. [Operator Instructions]
 Your call leaders for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group. I would now like to turn the call over to Mr. Drewitz. Please begin. 
David Drewitz: Thank you, and good morning to everyone. Happy holidays and Merry Christmas. Before Mr. Stewart begins, I would like to draw your attention to, except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the safe harbors provision as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results in future periods to differ materially from forecasted results. Those risks include among other things, the loss of market share due to competition or otherwise, the introduction of competing technologies by other companies, new governmental safety, health and environmental regulations that could require Butler to make significant capital expenditures. 
 The forward-looking statements included in this conference call are only made of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission. 
 So with that statement completed, I'm going to turn the call over to Mr. Clark Stewart. Mr. Stewart, it's all yours. 
Clark D. Stewart: Good morning, ladies and gentlemen. Thank you, Mr. Drewitz. I appreciate you all taking your time to be on the call and to listen to and discuss the performance of Butler National for the first 2 quarters of fiscal year '22 and other questions as they may arise. As -- if you've seen the Form 10-Q that we filed for the quarter end, you'll notice that these are probably the best 2 quarters we've had in the company since I've been here, and the revenue is certainly one of the best, $37 million plus.  And I think that's great. The actual net income is up from $306,000 in the previous quarter to little over $6 million in the quarter we just ended. 
Craig D. Stewart: 6 months. 
Clark D. Stewart: I mean in the 6 months, we just ended, I'm sorry. It's a total -- that's a total change of $5.7 million. We must realize as we look at all these numbers, there is a $2 million PPE. 
Craig D. Stewart: PPP. 
Clark D. Stewart: PPP, yes. PPP, forgiveness from the government for the COVID funding that we did receive, but we did not use. We returned that in June of 2021. So with -- having said that, I believe that we have good operating results for the 2 quarters. Interestingly enough, the casino contribution and the Aerospace contribution are almost equal, which is really the way we'd like to have it. 
 But that's a real good thing because our theory of the casino was to offset the fluctuations in the Aerospace and it's real nice to have them both doing the same amount of revenue -- or not revenue but income. So our backlog is good. And everything seems to be working fine. We do have some problems in hiring people as we always do. Other than that, I think we're in great shape. David, we're ready for questions. 
David Drewitz: All right, let's open it up for questions. 
Operator: [Operator Instructions] 
 And we have a question from Alex [indiscernible] Capital. 
Unknown Analyst: Congratulations on the great results and everything seems to be working out really well. I just have 2 quick ones. First, it looks like the Tempe business is doing really well. And I think on the last call, you guys talked about a big order there. I know that it kind of had its ups and downs over the years. So I just kind of wanted to get your perspective on sort of a range of outcomes of that business over time. Like what would be the minimum kind of orders you would expect out of that business and what sort of the maximum orders you could expect out of that business in any given year? 
Craig D. Stewart: Alex, thanks for calling in this morning. The Arizona business, I would say, with the gun controls, it can range anywhere -- its lowest years, I think, have been around $2 million in revenue. I think the highest we've seen was around $13 million in revenue. So that's kind of where your range is right now. I think we're tracking closer to the $13 million than we are to the $2 million. I think we're tracking somewhere north of $10 million for the fiscal year. And I think probably a pretty normal range right now, and a lot of it depends on our primary customer, how their business is going. But a range is probably between $6 million and $7 million and $10 million and $12 million right now, I would say, for that business. I think our backlog out there is around $10 million right now, which is almost a year's worth. So we've got -- you mentioned one big order. We've got a series of orders out there for Gun Control Units that range from about 100 Gun Control Units to about 250 GCUs. So there's a number of those, and that's what's going to keep us busy for the next year or so. 
Unknown Analyst: Great. And then great job on all the steps you guys have taken over the past 18 months or so in terms of buying the casino building, buying out your partner, you guys have really done everything you said you were going to do. Going forward, the casino generates a lot of cash and the Aerospace business at sort of these levels of operation should generate a lot of cash. I know that you guys have -- there's a fixed kind of debt payment schedule that you guys are going to adhere to, probably $5 million or $6 million a year there. But how do you guys think about the use of the cash over the next couple of years? How will you prioritize that? And what are the areas you plan to invest in? 
Craig D. Stewart: I think there are some opportunities surrounding the casino in Dodge City that we're looking at. There's some opportunities, I think, that we've seen here recently in the Aerospace business, where we can possibly go out and make a smaller acquisition to grow that business. I think there's a couple of different ways that as the cash flow continues to come in, we don't want to sit with $30 million of cash on the balance sheet. 
 So I think the goal is to find businesses that we can invest in that makes sense with what we do, that we can grow it through acquisition. There's some -- again, like I said, opportunities there in Dodge. But then at the same time, we're also spending quite a bit. We're improving the facility here in Olathe, which will help avionics business as well as give us some overflow of capacity for the modification business. So we are spending, I think, about $5 million on a hangar and office space up here in the Kansas City area. So we've got some things that we're doing that are spending some money, but we also are looking at what we can do to grow the top line through acquisition as well. 
Operator: [Operator Instructions] 
Clark D. Stewart: Did we run out of questions? 
Operator: We have no questions in queue at this time. 
Clark D. Stewart: Very good. Well, thank you for your patience and your willingness to listen to this telephone call this morning. We appreciate that a great deal. We're proud of what we're doing, and we think we're doing the right thing. So thank you for joining us, and we're finished, I think. Thank you. 
David Drewitz: Great. Everyone, thank you. Have a great holiday season, and we'll be in touch down the road. Thank you. 
Operator: This concludes today's conference call. Thank you for attending.